Operator: Welcome to Shaw Communications Third Quarter 2019 conference call and webcast. Today’s call will be hosted by Mr. Brad Shaw, CEO of Shaw Communications.At this time, all participants are in a listen-only mode and the conference is being recorded. Following the presentation, there will be a question and answer session. To join the question queue, simply press star and one on your touchtone phone at any time during the call. Should anyone need assistance during the conference call, they may signal an operator by pressing star and zero on their telephone.Before we begin, management would like to remind listeners that comments made during today’s call will include forward-looking information and there are risks that actual results could differ materially. Please refer to the company’s publicly filed documents for more details on assumptions and risks.Mr. Shaw, I would now like to turn the call over to you.
Brad Shaw: Thank you Operator, and good morning everyone. With me today are members of our senior management team, including Jay Mehr, Trevor English, and Paul McAleese.Earlier this morning, we released our third quarter operating and financial results for fiscal 2019, reflecting our continued focus on wire line execution and strong growth in our wireless business. While the quarter included a $15 million payment related to IP matters that impacted the reported results, the underlying performance of our business remained solid, and Trevor will walk us through this in more detail.In wireless, we had another terrific quarter with total net additions of approximately 62,000 compared to 47,000 a year ago. Included in the result is 61,000 postpaid subscriber additions and record low postpaid churn of 1.18. Clearly our strategy to grow this customer segment through an improved network experience, the latest devices, and affordable data-centric plans is delivering great results. We also added approximately 800 prepaid customers in the quarter, a significant change in trajectory from the recent quarters due to the success of our new plans launched on April 4.Eighteen months ago, Freedom Mobile permanently changed the Canadian wireless industry with our Big Gig data plans, which featured large buckets of fast LTE data and no overage charges. In recent weeks, each of the incumbents was finally forced to respond to our success by launching their own more expensive versions of our Big Gig plans . It’s now absolutely clear that Canadian wireless prices are coming down and that Freedom Mobile is the catalyst for this change.For the Big 3, these new rate plans offer a dramatic about-face from expensive data overages that their customers have been paying for years. It’s just too bad they haven’t gone far enough. If you are a customer of one of the incumbents, chances are you are still struggling with your current data plan and its toxic overage fees. Meanwhile, all Freedom Mobile postpaid customers can use their phones and devices with no limits, just as they have always been able to. We have worked hard to reset Canadians’ expectations of their wireless providers and the competition is learning to follow our lead.While the recent pricing moves have attracted a lot of attention, they have yet to have any meaningful impact on our customer acquisition initiatives, and we remain confident that the value of our Big Gig plans continues to resonate with Canadians.In our wire line business, we added approximately 7,000 broadband customers. This is a significant improvement from a year ago in a seasonally challenged quarter due to student disconnects that happen in May. Our year-to-date broadband net additions reflect a more consistent and improving trend compared to the previous year and is a direct result of our focus on execution.While it is still early days with our Blue Curve platform, we are pleased with its progress, which has met all of our targets and is a technology that lends itself well to our digital strategy, including a robust self-install experience. During the quarter, self-install increased again to 41% of total consumer activity, and we expect this improving trend to continue.We also recently launched IPTV in Calgary and expect to roll out this service to additional key markets over the next several months. The main benefits related to the introduction of IPTV include lower success-based capital as well as a lower service delivery cost as video becomes much easier to self-install.As we launch IPTV in additional markets, our overall video strategy has not changed and remains focused on profitability. During the quarter, we closed two significant transactions that align with our overall connectivity strategy. The acquisition of the 600 megahertz spectrum across our entire wireless footprint was critical for us and will significantly improve our LTE network and enable us to participate in the 5G landscape as it unfolds.We also completed the sale of our 39% equity stake in Corus on May 31. The sale of the Corus investment is consistent with our strategy that we embarked on over three years ago. This included the divestiture of our media and data center assets and a pivot into wireless. Since that time, we have made significant investments in the wireless network which have materially improved Freedom’s quality and customer experience. We continue to believe we have tremendous growth opportunities ahead as we start to bring wireless and wire line together in F’20.Now I’ll turn the call over to Trevor to go through the Q3 results in more detail.
Trevor English: Thank you Brad, and good morning everyone. Our third quarter results that we released this morning include some items that impacted our reported figures and do not accurately reflect the underlying performance of our business.On a consolidated basis, Q3 revenue of $1.3 billion increased 2.7%, driven by continued growth in our wireless and business divisions. Reported EBITDA decreased 1.5% to $530 million; however, this quarter included a $15 million payment to address certain matters with a large IP licensing company. The comparable period, or Q3 F18 to be more specific, also included a CRTC retroactive roaming benefit of approximately $13 million. Excluding both, the underlying EBITDA performance in the quarter was up almost 4% to $545 million.In our wireless business, which delivered another solid quarter of subscriber and financial growth, servicing revenue increased 22% to $178 million as we continue to grow our sub base and APU. Wireless equipment revenue declined by approximately 9% year-over-year to $73 million as a larger portion of subscribers in the quarter were BYOD, our churn metrics continued to improve, and our mix of prepaid and postpaid customers is more balanced, consistent with what we disclosed on the last conference call. Wireless EBITDA was $55 million in the quarter, an increase of 38% when adjusting for the $13 million roaming benefit in Q3 F18.In wire line, Q3 consumer revenue was essentially flat at $925 million compared to the prior year, while business revenue of $150 million increased over 6%. Reported wire line EBITDA of $530 million declined 1.5% year-over-year; however, when considering the $15 million IP licensing payment, EBITDA actually grew 1% and our wire line margin was in line with previous quarters.Capital expenditures of $280 million in the quarter was approximately 9% lower than last year with continued reductions in wire line partially offset by increased wireless spending. We expect substantial capital investment for wireless in Q4 as we continue the deployment of the 700 spectrum and launch our wireless network in 10 additional communities by the end of August. We still expect total capex within our wireless business to be approximately $400 million this year.In the quarter, approximately 350 employees exited as part of our VDP program. On a year-to-date basis, we have achieved $73 million in net operating cost savings and $25 million in net capital cost savings. As we expressed last quarter, the operating savings continue to run slightly ahead of schedule, while capital is a bit behind.In Q3, we reinvested approximately $5 million of operating costs in a variety of projects related to enabling our VDP program. We are still expecting to reinvest a total of $10 million to $15 million in the second half of fiscal ’19 with approximately 60% of this spend recurring; therefore, Q4 reinvestment will be at least the same as Q3 or likely a bit higher.As we continue to make our way through the VDP program, there have been some minor shifts compare to our original plan, and we wanted to be as transparent as possible with investors. In fiscal ’19, we now expect net operating savings to be approximately $95 million and $40 million in net capital savings for a total of $135 million, which is materially in line with our original plan of $140 million.Considering our year-to-date results, we are refining our fiscal 2019 guidance, which excludes the $15 million IP licensing payment. We expect EBITDA growth of 6%, capital investment of approximately $1.2 billion, and free cash flow is expected to be approximately $550 million. As Brad mentioned earlier, we completed the acquisition of 600 megahertz spectrum for $492 million, as well as the sale of Corus shares this quarter that generated approximately $525 million.Considering both transactions, we continue to have significant balance sheet flexibility and liquidity, with leverage at approximately 1.8 times, and we have significant cash on hand of approximately $1.4 billion to fund the remaining VDP payments, which is around $175 million over the next 12 months, and our 5.65, $1.25 billion, [senior] [ph] notes that mature in October.Brad, back to you for closing remarks.
Brad Shaw: Thank you, Trevor. Our year-to-date performance in fiscal 2019 is very much on plan as we continue to grow wireless and broadband. We are making smart investments in our business to streamline operations and transition to a more efficient organization. We are successfully managing through change while delivering net savings to the bottom line.As we confirmed through our refined guidance, we expect a solid close to fiscal 2019 and look forward to discussing our F20 strategic priorities and targets with you in October.Thank you, and we’ll now turn the call back to the operator for questions.
Operator: [Operator instructions]Our first question comes from Vince Valentini of TD Securities.
Vince Valentini: Thanks very much. Let me start with the guidance and just make sure we’re all on the same page, Trevor. Correct me if I’ve done my math wrong, but to do 6% without the $15 million IP item this quarter, you need to do about minus-3% EBITDA year-over-year in the fourth quarter. Is there anything else in terms of a one-time in nature that we may have missed from last year or that you expect this year that drives that number to be so negative, or is that just the pacing of these sort of transition costs to VDP that you’ve been telegraphing?
Trevor English: Yes, sure Vince. Thanks for the question. I think we’ve been very transparent with the street that we as a management team are very focused on delivering stable and consistent results, and we’re refining that we’re at the top end of our guidance, which has been consistent since October when we first released our original guidance. We’re delivering VDP net operating savings specific to the program; however, we’ve got some additional cost - Opex in the business as we progress through the year related to higher syndication costs, a bit higher marketing, we’ve got some higher reinvestments in Q4. I think the street really needs to look at their Q4 wire line EBITDA specifically and look at more considering the run rate over the last three quarters, as opposed to the Q4 F18 results. I’ll just remind you, from a revenue perspective in Q4 F18, if you recall, we had a full quarter benefit of rate adjustments in the quarter which was about $20 million, whereas this year we did have a rate adjustment during the year in April of this year for two months in Q3, however the rate adjustment wasn’t as significant, and I would say that there’s a lot more proportion of our customers on contract, so this annual rate adjustments isn’t having as big an effect as it previously did.So I think factoring--I think your math is fairly accurate, Vince, but hopefully that gives you enough color in terms of the way that we’re thinking about the business quarter over quarter and not necessarily, I think, the street maybe was making some assumptions on the Q4 F18 run rate, which was $516 million of EBITDA last year, and it’s going to be tough to--we do expect a negative growth rate off of that number.
Vince Valentini: Okay, thanks Trevor. One more, maybe for Jay, the shift going on in the wire line business. The subscriber numbers other than internet - I mean, if you look at video and phone and satellite, they were all down somewhat materially versus Q3 last year, but the revenue growth ticked up. Total wire line revenue growth up to 1% year-over-year growth was a little better than half a percent growth you’d been doing in the first two quarters of the year, so the strategy seems to be working. Can you give us any more data points and color on what you’re seeing? I mean, obviously the customers you keep seem to have higher ARPU than the customers you’re losing, but maybe you can talk about in more detail how you’re managing through that process.
Jay Mehr: Yes, for sure. Thank you for the question, Vince. We’re pleased with our wire line subscriber results in Q3. The 6,600 internet gains are a nice step forward, and everyone recognizes the usual student disconnects for Shaw in this quarter, and they were around normal level. The plan is working. Our focus on video profitability is delivering exactly what we wanted it to deliver. Video churn has improved year over year, and so what you’re seeing in those results is us being very segmented in terms of adding high quality video subs.To be fair, in terms of subscriber numbers the one that was a little disappointing for us was the phone number for the quarter, and quite frankly we had a little pick-up on churn in phone, which is not something that we’ve seen in previous quarters and not something that we’ve seen in June, so we’ll put a little bit more focus into that area, but very happy with where the rest of the numbers are. Internet revenue growth continues to be strong, up 6% year-over-year in Q3, and the mix that we’re seeing in the business we like a lot.You’ll recall this year, we tried to--I mean, strategy’s only strategy when it drives your behavior, and we tried to focus the business entirely on monthly recurring revenue, churn, and growing internet customers, so it really is account-level MRR and profitability that’s driving the consumer activity. I think as you get into F20, you’ll see subscriber numbers in some of the other categories rebound a little bit just from the natural adjustment that we’ve gone through our strategy, but we’re excited with where our monthly recurring revenue is headed and like where the consumer wire line business is going.
Vince Valentini: Thanks. I’ll leave it there. Thanks.
Operator: Our next question comes from Drew McReynolds of RBC.
Drew McReynolds: Yes, thanks very much. Maybe I’ll shift to you, Paul, on wireless. Obviously Brad, in your opening comments, you addressed some of this. I think the big question here is just the playbook from incumbents probably wanting to push you back down market, perhaps in response to the success you’re having. Maybe just comment to your value proposition in the marketplace now versus three weeks ago, to the extent you can, and the extent to which you’re comfortable with the amount of, “oxygen” that you have in order to achieve your wireless growth objectives. Obviously a big picture question.Then maybe the opposite for you, Trevor - can you comment on the cash tax situation for Shaw, just as we look out over the next couple years? Thank you.
Paul McAleese: Hey Drew, it’s Paul. Good morning. Yes, I think Brad’s comments off the top are worth reiterating on a couple of fronts. Maybe first and foremost, it’s nice to take a moment and properly acknowledge the sort of indisputable impact that we’re having on wireless affordability in this country. If it wasn’t clear before, it certainly is clear now, so it’s nice to see the incumbents coming down and sort of chasing us in that regard.We’ve had a couple of years of continued market share gains, and that’s really driven off the back of providing Canadian consumers with the value that they’ve been looking for. The last few weeks, we’ve watched the incumbents kind of cobble together these expensive and, frankly, fairly poorly architected imitations of our now two-year-old Big Gig plans, so it’s nice to see them having shown up. Through a certain lens, it kind of appears that every new initiative at the Big 3 is designed to just charge customers more. Honestly, it’s sort of like the incumbents is where pricing innovation goes to die these days.We still have millions of Canadians that are going to be attracted to our value proposition because millions of Canadians are still getting charged excess overage fees, up to $100 a gig, and there’s still a $1 billion-plus in toxic revenue floating around impacting Canadians’ everyday lives, so we look at these new unlimited plans from the incumbents, they really require the vast majority of their customers to spend more than they were spending previously in order to make sure that they have the certainty of no punishing fees. Frankly, it’s kind of off-putting, and Freedom has long been providing a better alternative and we’ll continue to do that.We are very confident in our current run rate. As Brad said, we’ve seen no meaningful impact to our growth, so the oxygen that you refer to is more than adequate for us to continue to achieve our growth objectives, and we’re very confident in our position.
Trevor English: On the tax question, Drew - appreciate it, clearly there was a number of tax items in this quarter related to a few events that impact both the cash tax and also our net income. Effective tax rate, first of all, during the third quarter we did take a -- or realize a free cash flow benefit of approximately $20 million related to the resolution of a matter with the CRA regarding the timing of certain tax deductions we took in prior years, and when that matter with the CRA was resolved, we reclassified $20 million of tax expense from current to deferred.In net income this quarter, we did recognize roughly $100 million decrease in our deferred tax liability due to the recent reduction in Alberta tax rates from 12% to 8% being phased in over three years. Frankly Drew, the impact our F’19 current taxes is nominal as the first reduction is effective July 1. Then finally, just to be complete, there was a significant item impacting net income this quarter as the loss related to the Corus sale; however, I would say that that was roughly $100 million, and that’s a capital loss, no impact on free cash flow.Just to help you out from a modeling purpose, Drew, I think we’re expecting cash taxes with all the movements this year to be around $165 million, in around that snack bracket, and then going forward I think if you wanted to use an effective tax rate of about 26% from a cash tax perspective, that’s probably the right number. Hopefully that helps you.
Drew McReynolds: That does, thank you.
Operator: Our next question comes from Jeff Fan of Scotiabank.
Jeff Fan: Thanks, good morning. Maybe just to follow up on wireless, so questions for Paul to start off with, the ARPU or APU growth, ARPU I guess more specifically, decelerated a little bit this quarter. Wondering how you see that growth going forward and what you think you guys need to do, or what the industry--what you’d need to see from the industry to see that growth re-accelerate.Then a question on the IP licensing of $15 million, can you give us a little bit more color on what this was related to within cable? Was this relate to anything to do with the X1 video platform or was it something else? Is this truly one-time, or there could be more related? Just wanted to get a little bit more color there, thanks.
Paul McAleese: Hi Jeff, it’s Paul. Yes, on ARPU and APU, we still like our APU growth story. I know our metrics this quarter probably were a little bit behind where consensus was. Bear in mind that this was a quarter in which we did see the need to discount some of our incoming class of subscribers because of a fairly hot competitive environment. I’m still confident that there’s a great story on ARPU growth over the course of the next number of quarters.In terms of accelerating it, some of what we’ve seen from the incumbents in recent weeks may create an opportunity. They’re presuming in their math that they’re going to be able to take customers up closer to that $75 price point, so as we formulate our response over the coming weeks, there may be some opportunity for us to similarly pick up some of that momentum. We still like our story there, it’s a positive one. We’ve still got market-leading growth on APU, so I’d say continue to watch this space as we formulate our response.
Jay Mehr: Awesome. Jeff, it’s Jay. On the IP licensing deal, I think you can appreciate in our disclosure that these kinds of deals are complex and have confidentiality elements to it, and as I’m sure you can understand the nature of it, to your specific question, this is not a commercial transaction with one of the partner-led, strategic partners that we’ve identified in the past, so it’s not related to a transaction with Comcast or with Meraki or with Nokia. It’s an IP licensing deal and you can see our disclosure on it, and we’ve got comments that we’re pleased with this. This was my deal, we concluded this deal, we’re happy with the outcome, we’re happy with what it sets forward for the future, and can’t really disclose much more than that just because of the nature of the transaction. But it’s not related to any of our ongoing partner-led, strategic named partners that we’ve talked about in the past.
Jeff Fan: Okay, thanks guys.
Operator: Our next question comes from Maher Yaghi of Desjardins.
Maher Yaghi: Thanks for taking my question. I wanted to maybe just get your views on how you see margins behaving going forward after most of the VDP savings are behind you now. Beyond, let’s say Q4, now we have a pretty good idea where you’re sitting, but are there additional margin areas you can work on to get some lift in your business, either wireless or wire line, and as you roll out--continue to roll out wireless into 2020, can you talk a little bit about your capex plans in general - no need to put out a number if you don’t have to, but just trying to figure out your views on 5G deployment and your spectrum position for that.
Trevor English: Sure. Thanks for the question. It’s Trevor, maybe I’ll start. There’s a lot there. In terms of the wire line margin question, maybe we’ll break up the margin question into wire line and wireless, from a wire line perspective we’re really happy with the performance of the business. You can see we’re delivering roughly $95 million of VDP savings. We’re still on track, like we always said, about $250 million of total VDP savings in F20, and that’s sort of a 50/50 split between opex and capex, or maybe it’s a little higher, 60/40 - we’ll update that, but it’s in that snack bracket.We’ve got some other opportunities on the cost side of things. We talked about the roll-out of IPTV just beginning here in May in Calgary in Brad’s remarks. We’re rolling out that service throughout the majority of our footprint by the end of this year. We think that supports a very robust self-install experience, so there’s some costs from that perspective. We’re focused on digital, which again limits--lowers call volumes into our call centers. There’s other costs here that we think there’s some opportunities to get some more efficiencies.That being said, there’s also some other costs within the business that are going up as our partnership that Jay mentioned with some of our key suppliers, like Comcast and others as we’re successful with rolling out Blue Curve, there’s always an element of variable costs with the success there. We continue to see that the margin within the wire line business--you know, continue to see some opportunity, but clearly there’s been substantial growth this year from previous years and that was probably the easy work behind us. We’ve got some chopping to do, but we’re excited about what we can do.On the wireless side, I would say--you know, this quarter I think was about a 22% margin, and I think Paul on the last quarter talked a little bit about where that--we’re clearly generating a little bit more margin from the scale of the operations and we continue to expect that. But I think you’re going to see a gradual increase in margins over F20. We don’t want to get too far ahead of ourselves, but it’s probably continuing margin expansion from here but not in a significant material manner.Then on your wireless capex question, I think that was the last one--
Maher Yaghi: Yes.
Trevor English: Listen, I think the last couple of years, or this year we’ve talked about around $400 million of capex. We continue to think that that’s about the approximate number in F20. We’ll crisp that up, obviously in October, but we don’t see significant increases to the overall amount of wireless capital over the coming years to live into a world of improved LTE service in foundation for 5G as well.
Maher Yaghi: Great to hear, thank you.
Operator: Our next question comes from Sidd Dilawari of Cormark Securities.
Sidd Dilawari: Good morning, guys. I think at this point most of the questions have already been addressed, but just a quick one on wireless for Paul. I think this was the second quarter of declining equipment revenue. How do you see that impacting the APU going forward, and then overall, how do you see this impacting the wireless business overall margin? I think for margins, it should be positive given that [indiscernible] do have better margins, so just looking for some feature or commentary on that.
Paul McAleese: Yes, thank you. You’re spot on - we have seen some of the reflection--the kind of moderating of ARPU and APU is related to some inbound success on prepaid, but the larger driver of it is a fairly significant pick-up in BYOD as a percentage of our overall volume in the last couple quarters. That is very much accretive to margins, so we’re pleased with that. We also love that it sets up, as we move into the autumn, where the initial cohort of iPhone 8 and iPhone X subscribers on competitive networks start to roll off their two-year financing plans, so we really like what that’s doing for us, so you’re absolutely right to pick that up.That does of course have a negative impact on equipment revenue, but given that that’s a generally no to negative margin line for us anyways, that’s something we’re not overly concerned about. We like where that’s heading, and we’ll continue to press on that opportunity as it presents itself.
Sidd Dilawari: Okay, than just another quick one on 5G roll-out. Is there any plans on acquiring high band spectrum, or we’re good with where we are with the low band acquisitions we’ve made recently?
Paul McAleese: I’m sorry, you just blipped on--acquire what spectrum?
Sidd Dilawari: Sorry - high band spectrum.
Paul McAleese: Yes, we’re just following the road map that [indiscernible] and the CRTC are putting in place for the spectrum auctions. We’re not commenting further beyond the 3.5.
Sidd Dilawari: Okay, thanks. That’s everything for me.
Operator: Once again, if you have a question, please press star then one. Our next question comes from Adam Ilkowitz of Citi.
Adam Ilkowitz: Thanks, good morning. I wanted to dig into free cash flow for a moment, the $176 million in the quarter and the raised guidance for the year. There seemed to be a pretty big property sale during the quarter which helped the quarter, as well as the $20 million tax item that you had mentioned in the Q&A. Can you explain to us how investors should think about the about $550 million and how it’s impacted by any one-timers that may not be recurring? Thanks.
Trevor English: Thanks. On the tax piece of it, we did--I think I answered it earlier, we did realize about $20 million related to a resolution of a matter with the CRA; however, I would say that we had previously incurred higher cash taxes due to that, so I think it’s sort of a true-up in timing, and I wouldn’t call that one time. I would say it’s more about timing. On the sale of the building, I guess that it netted off--it’s within our overall capital budget, which still remains at $1.2 million, so I wouldn’t say that we were trying to treat the sale of the building that impacts free cash flow. Again, I know it’s a little messy on the cash taxes, it looks a little light this year, and it’s because of that $20 million.
Adam Ilkowitz: I guess the sale of the building during the quarter, was that included in your previous $500 million free cash flow guidance?
Trevor English: No, it was never part of free cash flow.
Adam Ilkowitz: Okay, I can probably take that offline. My second question is on the wire line side. I’m kind of intrigued as to the margins, which have been roughly stable. With the amount of people coming off from the VDP program, can you talk about the size of that maybe causing margins to be perhaps negatively impacted that would leave them flat, rather than seeing an upward trajectory to margins? Thank you.
Trevor English: Yes, we talked about it a little bit, Adam. We do have some other costs within the business that ticked up, and they’re not just costs related to the VDP enablement program. There’s regular merit increases in the business for the employees, there’s the syndication costs that are becoming a more important line item or a bigger line item within the business considering our partner-led solutions, so there’s a few other costs that have increased obviously to offset some of the VDP savings. But clearly, we’re very happy with the way the VDP program is going and we’re realizing the savings. The headcount is staying out of the business, but there’s just some other costs within that have ticked up just a little bit - network programming costs, things like that.
Jay Mehr: You can see that already--it’s Jay, Adam. We’re quite confident at the direction of wire line profitability in our strategy, we’re quite confident in the free cash flow profile of our company and where we’re headed in subsequent years, but the work that the team has done on VDP and the entire transformation has been extraordinary. This quarter alone, we have truck rolled down 30% year-over-year. This is a good start to a modern Shaw. All of our fundamentals are in place and while--I mean, coaches take losses and teams take wins. VDP and the work to transform our wire line business is working and the team is doing extraordinary, so we’re excited about the future.I understand the math you’re doing. The free cash flow characteristics and the characteristics of the wire line business going forward, it’s something we’re very excited about.
Adam Ilkowitz: Thank you very much.
Operator: Mr. Shaw, there are no more questions at this time. This concludes the time allocated to today’s conference call. You may disconnect your lines. Thanks for participating and have a pleasant day.